Operator: Good day, ladies and gentlemen and welcome to the Hydro One Limited's Second Quarter 2019 Analysts' Teleconference. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Omar Javed, Vice President, Investor Relations at Hydro One. Please go ahead.
Omar Javed: Good morning, everyone, and thank you for joining us. I'm here in Toronto with our President and CEO, Mark Poweska; and our Chief Financial Officer, Chris Lopez. We'll provide some brief comments on our second quarter results and then spend the majority of the call answering as many of your questions as time permits. There are also several slides that illustrate some of the points we'll go over in a moment. This should be up on our webcast now, or if you're dialed into the call, you can also find them at Hydro One's website in the Investor Relations section, under Events and Presentations. Today's discussions will likely touch on estimates and other forward-looking information. You should review the cautionary language in today's earnings release and our MD&A which we have filed this morning regarding the various factors, assumptions and risks that could cause our actual results to differ as they all apply to this call. With that I'll turn the call over to our CEO, Mark Poweska.
Mark Poweska: Thank you, Omar, and thank you to everyone for joining us today and for dedicating your time to review our second quarter results. If you don't get a chance to ask a question near the end of this call, please keep in mind that Omar and his team remain available to you. After I review the highlights of the quarter, we will turn to Chris to review the financial results. It has been an incredible first three months in this role at Hydro One's. Through the series of visits, I've had the honor to meet many of our employees, investors, government leadership and indigenous community leaders as well as our business and industry partners. Each time I'm reminded of the critical role that we play in creating the safe and reliable electricity system to support Ontario's growing communities and thriving economy. In my first few days on the job, I committed to working together with our Board of Directors and Management team, to set a clear vision and strategy for a strong and successful Hydro One. During the initial stages of the strategy development process, I'd focus on listening to and learning from our stakeholders, visit with our shareholders across the electricity sector that provided valuable insights that are forming our path forward. As we continue to refine our corporate strategy, our direction remains clear. We must continue to focus on operational excellence at the heart of which is building a strong enduring safety culture. We must deliver exceptional customer service while improving power reliability and we must take costs out of this system. Working together I know that can enhance a powerful organization that continues to meet the needs of our customers and our shareholders. I look forward to presenting our strategy to you later this fall. I knew I was joining an organization with passionate people, but having been in the role now for a quarter, I am deeply impressed with what results driven hydro forming [ph] team we have. A strong and stable leadership team is critical to our success. While we had a period of planned executive transition last year which extended into the second quarter of 2019, I am pleased that we that we continued to not only track, but also regain a high-caliber talent. We have a dedicated management team in place to help us on the next phase of our journey. I'm delighted to share that three appointments to our executive leadership team that I have made over the last quarter that have enhanced the bench strength of our organization. As you will recall, in early May I appointed Chris Lopez as our Chief Financial Offer. Chris has a proven track record for delivering financial success with more than 20 years of experience in the utility industries.  Saylor Millitz-Lee was promoted internally and assumed the role of Executive Vice President and Chief Human Resources Officer in July. Saylor is an accomplished Human Resources professional with extensive experience within both Hydro One and in the private sector. As our Chief Human Resources Officer, Saylor will lead the development and implementation of effective strategies and programs designed to attract, motivate and retain talent and deliver business results through our talented workforce. I'm also pleased to announce that Paul Harricks, who has been appointed as Executive Vice President and Chief Legal Officer. Paul is a highly experienced corporate lawyer with widely recognized expertise in the energy and infrastructure industries in both Canada and internationally. He has led the energy sector industry group at Gowling since 2010 and also led the firm's infrastructure sector group. Our positive momentum over the past year is due in part to our strong leadership at the Board level. On behalf of the Executive Team and the Board, I'd like to thank our Past Chair, Tom Woods for his dedication and steady leadership through a period of significant transition. He has left the Board well positioned to continue its important work and we thank him for ensuring a smooth transition at the Board level. I'm also pleased to welcome Tim Hodgson as our new Chair. Tim, an existing member of our Board is a highly qualified leader with deep business and policy experience. Tim's proven capabilities will enable him to provide leadership to the Board as they continue to carryout oversight responsibility of Hydro One. We look forward to working with him. Earlier this week we released our 2018 report on sustainability in which we laid the foundation to building a strong, long-term sustainability program, and we are proud of the significant progress we are making. This report is available on our website. During 2018 we strengthened our ability to manage our carbon footprint and adapt to changing climate conditions. The results of our efforts earned us recognition from Corporate Knights Magazine which ranked Hydro One 16th in its annual list of the best 50 companies for setting a high standard for leadership and sustainability in Canada. Hydro One is also one of only six utility companies in Canada to achieve the Sustainable Electricity Company designation from the Canadian Electricity Association. We remain dedicated to operating in an environmentally friendly and socially responsible manner and continue to partner with our customers and stake holders to build a bright future for all. Investments went well beyond towers and wires. New technologies and new partnerships were among the tools we used to modernize the grid. Delivering services to the public and industries need in order to build their communities and to growth the economy. Ties were strengthened within digital indigenous communities across the province and we increase our procurement spending within indigenous businesses to $39.4 million. This was an increase of 62% over the previous year. We know that our long-term performance depends on us incorporating sustainability in all aspects of our business and I look forward to the progress we will continue to make over the next year. On the customer service front, I'm pleased to report that our trend of increasing customer satisfaction scores continues. The scores among residential and small business customers hit a 10-year high during the first six months of 2019 at 85% and 9% increase over 2018 results. This improved the level of satisfaction as a result of better understanding of our customer needs, preferences, and better reliability due to our course read [ph] programs as well as investments in infrastructure and pure weather related outages. We continue to find new ways to improve the experience for our customers, implementing new digital solutions and using data analytics proactively communicate the system better. Over the last year and a half we nearly doubled the customer base that use paperless billing solution. While this has a marginal positive impact on our cost savings, it is more environmentally friendly and provides greater convenience for our customers. Our focus on reliability within our distribution system created a significant improvement up 18% over the same quarter last year as measured by duration of outages off and on in SADI. A key contribution to this improvement and reliability was the continued focus on our environmentally conscious vegetation management program. As a risk based technique we are able to focus on trimming hazardous trees that may cause power interruptions by coming into contact with power lines. Not only is the new program more environmentally friendly, it is also better for the communities, more efficient within our operations and improves the service we provide to our customers. Our focus on improving the experience for customers and communities was recognized by and award from the Canadian Public Relations Society. This national award of excellence was presented for our community relationship management in support of critical forestry in the Ottawa area throughout 2017 and 2018. Our expertise and forestry was also recognized by the Edison Electric Institute with an Emergency Assistance Award for our response efforts following the devastating California wild fires in 2018. We deployed 40 forestry staff for one month to inspect electrical systems. Finally, we continue to have a positive relationship with the Government of Ontario as we aligned on key priorities of meeting and exceeding electricity needs of all Ontario. I am pleased to report that our commitment to advocate on behalf of our customers led to the Independent Electricity System Operator awarding us with a new 230 KV transmission line from Chatham to Leamington. Construction should be completed by 2025 and will bring 400 additional megawatts of power needed to meet the growing demand under the greenhouse industry in Southwest Ontario. This additional load should have the added benefit of lowering electricity rates for all Ontarians. We are proud that our strong and cost effective execution capabilities have been recognized with the award of this new line. With that, I'd like to pass it over to Chris.
Chris Lopez: Thank you, Mark and good morning everyone. I'd like to take this moment to welcome our new colleagues to the leadership team. We are all excited about the great opportunity that Hydro One offers and look forward to your contributions to a truly unique organization. In terms of our financial results, the fundamentals of the business continues to be strong, however we did see a decrease in earnings per share in the second quarter to $0.26 compared to the second quarter of last year of $0.34. The decline was primarily related to less favorable weather. For the transmission segments the average peak demand in Ontario has declined by 8.6% when compared to the same quarter last year. In addition there was a decline of 1.1% in electricity distributed to Hydro One customers on the distribution side. While the mild and calm weather affected revenues, it also allowed us to seize the opportunity to do more work in the quarter to improve the reliability and derisk the electricity system for our customers. Revenues were also affected by the accelerated depreciation measures or incentives introduced in the 2019 Federal and Provincial budgets and enacted during the quarter. The impact from these laws however is net income neutral as there is a corresponding offset to tax expense. Overall, revenue net of purchased power were lower year-over-year by 5.4%. On operating expenditures, we took advantage of the milder weather and lack of storm activity to enhance reliability of the electricity infrastructure by undertaking more or accelerating work in our Vegetation Management Program. The team covered 7649 kilometers in vegetation compared to 6181 last year which represented an increase of 24% year-over-year. Although this is an increase in M&A for the quarter, we believe the expenditure is prudent as it allows us to derisk future quarters so we can remain on track to meet the Vegetation Management Program targets, safety transition from a 10-year to 3-year cycle. Our Vegetation Management work has contributed to better reliability with our distribution business, with a decline in the System Average Interruption Duration Index or SADI of nearly 18% year-over-year. With respect to the storm activity, last year we capitalized a significant portion of cost due to stone related expenditure. This year the milder weather resulted in less storm activity which meant our restoration events that were not being stormed were expensed instead of being capitalized. The result was an increase in emergency tower restoration cost within operating expenses. Although we have higher expenses in the quarter, we remain on track with regard to our annual program to take cost out of the system and add a minimum offset inflation. During the quarter were pleased to issue $1.5 million of long term debt at historically low rates. While the secured financing was favorable, the interest cost did represent an increase from last year when we had carried an increased commercial paper balance. In addition, this year we did not have any unrealized gains from forward contracts that were present last year on account of the financing related to the Avista merger. The increased financing costs were partially offset by the savings as a result of the redemption of the convertible debentures in February 2019. Similar to last quarter, we experience a negative effective tax rate of 3.9% versus 13.4% in the second quarter of the prior year. The quarterly income tax decreased by $38 million which resulted in a tax recovery of $6 million. The decrease in income tax expense was primarily attributable to the accelerated tax depreciation enacted during the quarter. Incremental tax deductions from deferred tax asset sharing as mandated by the OEB and lower income before taxes in the quarter. As mentioned earlier, the lower taxes pertaining to the accelerated tax depreciation and deferred tax asset sharing offset by lower revenues making them net income neutral with no impact to our regulated return on equity. At this stage we are not changing our previous guidance of 2% for the effective tax rate in 2019. Over the next five years, we also continue to expect the effective tax rate will be in the range of 8% to 11%. While the decrease in effective tax rate will be net income neutral, it may have an impact on the timing of future cash flows. Moving over to investing activities, the company placed $276 million of assets in service in the second quarter, which is lower compared to last year of approximately $200 million. Last year, a substantial portion of in service [indiscernible] was due to the completion of the Clarington Transmission Station which accounted for $197 million of the in service amount. Moreover, the milder weather as referenced previously also meant we had lower storm cost capitalized during the quarter. We are pleased with the productivity being achieved in the overall capital spend and in servicing of assets. These efficiencies allow us to do more work with the same amount of capital approved by the OEB which will in turn improve reliability for all customers. On the regulatory front, our application for transmission rates for the 2020 to 2023 years under the incentive rate making framework was filed on March 21. We just finished responding to over 650 interrogatories containing more than 1500 questions from OEB staff and [indiscernible] which is normal course. We anticipate a hearing in the fall this year and expect a decision in early 2020. With respect to the deferred tax asset we have filed an appeal with the Ontario Divisional Court and a hearing is expected to take place on November 21. Finally, we continue to work through both the Orillia Power distribution and Peterborough distribution merger applications. Technical conferences will be held in October and we hope for a quick resolution thereafter. I'll stop there and we'll be pleased to take your questions.
Omar Javed: Thank you, Mark and Chris. We will ask the operator to explain how she would like to organize the Q&A polling process. Please go ahead Crystal.
Operator: Thank you. [Operator Instructions] And our first question comes from Linda Ezergailis from TD Securities. Your line is open.
Linda Ezergailis: Thank you. I'm wondering if you could help us maybe understand prospectively either the seasonality of some of your OM&A activity and costs or what an appropriate run rate might be for either the second half of this year or some sort of annual run rate going forward?
Chris Lopez: Thanks Linda, this is Chris. Yes, I think the seasonality really when last year, last year for example, we had fairly volatile weather and that does impact your ability to complete normal course work. This year we've had the offices that the weather was closer to normal, but and without the volatility which allowed us to do a lot more of the planned work and we had increased capacity to do that. When the crew is not working on planned work we can, then we can ramp up the planned site and so that's what we've done. So that's why you're seeing an advancement of cost in the first half of this year. Overall, I think to my earlier comments at a minimum we will offset the impact of inflation and so if you looked at the total OM&A for the year it should be flat with the exception of few one or change in structure for Hydro One, so that one that's obvious is our change in executive compensation that will result in a reduction to last year's run rate. So you will see that towards NAV [ph]. So, your back half should more than offset any increase that you are seeing in costs in the first half of this year.
Linda Ezergailis: Okay and then the split between Q3 and Q4?
Chris Lopez: I don’t have that detail in front of me Linda.
Linda Ezergailis: Okay, maybe I can take that offline. Thank you. This is a question may be more for Mark. You've been in this seat really it's just been a few months now, but you are going through refilling for the acquisition of Orillia. You are waiting for decision on Peterborough. What are your thoughts on whether Hydro One may continue to make acquisitions of smaller utilities and if you do what sort of approach might you take that's a bit different prospectively if at all?
Mark Poweska: Yes, so you are right. We are going through the regulatory process for the purchase of Orillia and Peterborough, and as I look at our strategy and we developed strategy, I think that there is synergies to be made and opportunities for further consolidation of LBCs, and we will look at those as we look at our strategy. As you know, that the ones that we have been doing up and taking some time to get through the process and part of that is around the multiples we're paying for those as well as is showing that we're holding rate payers less and so based on our learnings from Orillia and Peterborough we will be clear upfront if we do a future acquisition on what that looks like.
Linda Ezergailis: Great, thank you. And maybe you can just, someone can help me understand what the timeline might be in terms of your appeal for the deferred tax asset decision. It is going to be heard in November, but can we think of kind of a normal timeline for how that will unfold after November to ultimately get to a decision?
Chris Lopez: Yes, hi Linda, this is Chris. I would expect a decision in the first part of 2020.
Linda Ezergailis: That's helpful, thank you. I'll jump back in the queue.
Operator: Thank you. Our next question comes from Robert Kwan from RBC Capital Markets. Your line is open.
Robert Kwan: Hi, good morning. I'm just wondering Mark if you can talk about the engagement you had or how much time have you been spending in engagement with the government on just trying to help them deliver the reductions, whether that's work? And Hydro specifically, one of the other things you talked about was just streamlining the entire electricity system by having companies and the agencies work together to avoid duplication, really just drawing on your prior experience working in an integrated utility? 
Mark Poweska: Yes, we support the goal of reducing costs in the system obviously and we are working and have been working with our peers, with the regulators, and with the government on looking where there are opportunities on that. I want to remind people that we are 14% of the total system cost in the Province of Ontario, and when you break that down a little bit further, that's actually, of the 25% of the customers that we directly serve through our distribution and transmission system, we represent 38% and we only 7% of the bill on the remaining 75% of the customers in this province. So, I just wanted to make sure we put that in perspective. The Government has outlined certain items that they've already publicly announced, which I believe contribute towards the reduction that they're looking for, example, those are moving the conservation program to the ISO Council and some of the power purchase contracts for contracts where construction hadn’t begun. So I think that if you look at what has been announced, they are probably down the road. We are working with the others in this sector to look at where there are opportunities across the whole sector and we're doing that through us re-engaging with some of the associations, which we haven't been part of the last well, such as the OEA or the EBA [ph] and the Ontario Energy Network. So we are working with our partners on that to look for where those opportunities are and I look forward to doing that going forward.
Robert Kwan: Okay. Maybe just turning to, maybe acquisitions, and thinking more broadly, I guess just thinking about the risk of the OEB looking through to the holding company, what's your thoughts on acquisitions outside of Ontario, as well as non-regulated assets, just trying to see really trying how do you get to use your balance sheet capability on the acquisition front?
Mark Poweska: Yes. So we're still in the process of developing strategy. But one thing is pretty clear to me is that it will have a heavy focus on operational excellence and on Ontario. I can say that I don't foresee us doing M&A in the U.S. in the near term and we will be heavily focused on Ontario. I like the way we're allocating our capital to the regulated business in this company, and I believe that there is good growth in that business, primarily through organic growth and investment in the assets and what I've seen so far, looking at our asset management assessments of the health of our assets, which a lot of them were built in the 1950s, is that this system requires a large amount of investment, and that's the case we're making in front of the regulator.
Robert Kwan: So, okay, so it sounds like you want to largely stay Ontario largest regulated. Is it fair or what's your willingness to use material double leverage, given the risk of a look through?
Chris Lopez: Hi Robert, it's Chris. Again, we look at that the strategy, but I do not see our approach double leverage or anything like that being a material part of the strategy. It will be primarily the regulated business here in Ontario ways to expand that footprint into other areas that complementary. So we'll definitely look at that. We'll look at if there is any debt capacity at the Holdco level. Anything that we can use that for potentially there is some opportunities there, but nothing substantial that I can see Robert.
Robert Kwan: That's great, thank you very much.
Operator: Thank you. Our next question comes from Mark Jarvi from CIBC Capital Markets. Your line is open.
Mark Jarvi: Thank you. Good morning, everyone. Maybe just following up on some of the last comments about other types, primary focus is Ontario, but what's your sort of interest or thought process we now about looking at other transmission projects outside of Ontario taking some of your expertise and looking at that whether or not to be, you want to think about that on a standalone basis or if you did engage on something like that if it'd be through partnerships?
Mark Poweska: Yes, as I said, we're developing strategy right now and we're looking at where are all our opportunities for growth. You're right in that we have a lot of expertise around execution of transmission and distribution type projects and as we look at our strategy overall and where there are opportunities, that's something that we'll need to consider.
Mark Jarvi: Are you ready to sort of engage on anything now or do you still want to refine your strategy before you sort of get people moving towards those types of initiatives?
Mark Poweska: Yes, we'll be assessing, if there are those types of opportunities now and as we refine our strategy we will decide on whether we'll pursue anything like that. We are pursuing the ones which we know about in the province. So I talked about the Leamington line earlier and so we will be constructing that line and we're working on the planning of some other lines in North to open up the ring part.
Mark Jarvi: Okay. And then maybe this question is for Chris. But just on the accelerated depreciation any increase or any additional commentary or discussions with the rating issues or views around further treatment from the OEB on the cash flow impact and how you guys see managing that going forward?
Chris Lopez: We haven't had those discussions, yes it's premature all right. I think they will be discussed in the upcoming transmission application. So I think the clarity on that will come early in 2020 and that would certainly be the case with DX. On the DX side it's likely that that clarity does not come until the next resetting in 2023.
Mark Jarvi: Okay, I'll leave it there. Thanks guys.
Operator: Thank you. Our next question comes from Rob Hope from Scotiabank. Your line is open.
Rob Hope: Good morning, everyone. With September almost upon us and bond yields continuing to grind lower, just wanted to get your sense on the formulaic Ontario ROE and how that could be set in whether not that truly reflects the cost of capital?
Chris Lopez: Hi, Chris here. So we do calculate that number. It does fluctuate a lot daily at the moment given the headlines out of the U.S. and China, mainly driven by trade. We, it's probably too soon to speculate, earlier this year, it was late last year, it was up at the 9 earlier this year dropped it probably at its lowest point right now absolutely, but too soon to call that. As you know, the number will be fixed in the end of September this year. So, at the next quarterly call, we'll certainly have a view on what that is. Reminding everybody that that does affect, that does affect the TX application. It does not affect DX which has already been set and is locked away until 2023.
Rob Hope: All right. And then maybe just as a follow-up though, because you did mention that it is volatile, right now, and not necessarily accurately reflecting a cost of equity, would you have an appetite to potentially look to go at an altered ROE at some point?
Chris Lopez: No, we're not turning that at this point.
Rob Hope: All right, thank you.
Operator: Thank you. Our next question comes from Ben Pham from BMO. Your line is open.
Ben Pham: Okay, thanks, good morning. I guess the benefit of lower interest rate potential or ROE is really the, your cost of debt. And what are your thoughts around your financing needs on the debt balance of this year in 10x you are looking at maybe some prefunding activity?
Chris Lopez: Yes. So we did a 1.5 billion earlier this year. So our funding requirements for this year are done. We could take a little more in the back half, if we want to do. That's optionality more than likely it will be next year, but you're quite right. So the offset in this is if you're in a declining rate environment, your cost of debt as you renew that benefit stays with the equity holder. In a rising rate environment you get the benefit of a higher ROE, but you also have the risk of interest rates increasing and the equity holder with that. So when you look over the right period, and we're not talking 100 basis points or anything in that range, we're talking in the 10s of basis points, not in the hundreds. So yes, we can absolutely offset it through lower cost of financing over the right period.
Ben Pham: Okay. And I wanted to follow up some other questions and answers on the strategy and I mean it could just simple Hydro One reiterating what your previous strategy that's been talked about, but can you update us maybe on the timing of these disclosures and is it -- is your plan to have, is it a formal document that you're planning to review or is it going to be more of a quarterly call where you're going through some of the salient points of the new or our current strategy?
Chris Lopez: So we're in the development phases obviously of the strategy still, and part of that needs to be how do we want to convey this to the market, and to shareholders, and to stakeholders and we haven't made that determination yet. I do foresee giving good information to shareholders and to stakeholders on what that strategy is going to look like and why we're pursuing it, but we haven't turned our head to exactly what that will look like.
Ben Pham: Do you foresee something before the end of this year Mark? Is this may be more just thinking about the 2020 as a full-year basis?
Mark Poweska: Yes, no, I foresee sharing our strategy more broadly by this fall.
Ben Pham: Okay. And maybe just the last touch up this deferred tax asset and then this appeal. I mean is this really -- it's really more of a cash flow implication and then EPS impact, right, because it's just because of the variance accounts?
Mark Poweska: So, I just want to be clear, are you talking about deferred tax asset?
Ben Pham: Yes, I want to hear the one that you've been denied a portion of that and you're you're feeling it.
Mark Poweska: Yes, okay. Yeah. So what it will be, if we are successful, there'll be a one-time gain of 885 million and then it becomes a cash flow benefit going forward. But there will be a onetime EPS benefit like it was a one-time EPS write-off in Q4 of last year.
Ben Pham: Okay, but there is not anything like recurring operating EPS impact?
Mark Poweska: No, but there is, but there is a recurring FFO benefit of $50 to $60 million per year.
Ben Pham: Okay, all right. Okay, thanks very much.
Operator: Thank you. [Operator Instructions] And our next question comes from Andrew Kuske from Credit Suisse. Your line is open.
Andrew Kuske: Thank you, good morning. Chris, I think you mentioned there is a 24% increase in I think I guess is the area that was covered by the Vegetation Management Program, could you just give a bit of color on what effectively you're brought forward into the quarter from a cost basis? And then the follow-up question to that is effectively as you start to see outages decline and reliability increase because of the vegetation management, does that start to shift your capital program to a more proactive one versus being reactive to instances that caused by outages?
Chris Lopez: I think your answer to the second question is, yes. As reliability improves more or less impacts from trees, our ability to switch to more of a planned approach versus a reactive approach improves. So that will be true in terms of the quantum of what's been brought into the quarter. I think if you adjust for Vista cost year-to-date we're about $20 million higher than the previous year and that roughly equates to the increase in our vegetation management costs in the first, mostly in Q2, but in the first half of this year.
Andrew Kuske: So, if I may, just to follow up on that theme. How do you think about the more productive proactive capital, when does that start to get put into place and what benefits do you anticipate coming from that?
Chris Lopez: Yes, I think that will be over time, that won't be in, like in a particular quarter. So I think you'll see that coming out. And what we said before is, that we don't pick up a lot of cost savings overall in the first cycle, which is the first three years of the program, but we will start to see the benefits and as they occur will switch. I think you'll see it materializing over the next three years. But the big switch to that planning more proactive approach and reassigning those savings to other areas will happen at the end of the first site.
Andrew Kuske: Okay, that's helpful. And then maybe slightly different but similar theme theme just on the advanced metering infrastructure wireless project, what benefits are you really seeing from that at this point in time?
Chris Lopez: So, the advanced metering infrastructure, I guess some overall, I think there is things that three things that are really impact our reliability improvements. One is the OCP that we just heard about, the second is our storm response and our change to our planning and preparation for storms, and the third is the hardening of the system and the investments in technology on the system one of the things being in leveraging our AMI and putting sensors on the system, so that we can isolate where there are outages and get better foresight on where there are outages. So, I would say it's having an impact, those three things are really what's impacting our improvement in reliability.
Andrew Kuske: Okay, that's great. Thank you. 
Operator: Thank you. And our last question comes from Patrick Kenny from National Bank Financial. Your line is open.
Patrick Kenny: Hey, good morning, guys. Thanks for the update on the customer satisfaction levels as well as the new sustainability report. Still looks to be quite a bit of room though for improvement on the employee satisfaction front and I didn't see any voluntary turnover data or internal targets in the reports. So maybe you could just provide an update on where things are at today? What sort of targets, you're looking to achieve over the coming years with respect to employee satisfaction?
Mark Poweska : Yes, I'm not sure I can answer the details market, the details of both, about the targets and where we're at right now. I don't have those numbers in front of me, Omar could get those after, whether our concentration rates are and things like that, but I know relative to most industries we're below average as far as attrition goes. I think we're probably in alignment with other utilities but I can't confirm that, so Omar will have to do that.
Patrick Kenny: Okay, that's great, thank you.
Chris Lopez: Yes as a general follow up there, what I will say is that I'm not sure of passively you're drawing a link between events of the last 12 months that really had no impact on staff turnover at Hydro One. And in fact we've won employment or an Employer award in that time. So it's not reflective of any concern around staff or turnaround. So I would expect the attrition rate to – that Omar will provide, but I think that's very clear.
Patrick Kenny: Much appreciate the color.
Operator: Thank you. And that does conclude our question-and-answer session for today's call. I'd like to turn the call back over to Omar Javed for any further remarks.
Omar Javed: Thanks, Crystal. The management team at Hydro One thanks everyone for their time with us this morning during what is definitely a busy day. We appreciate your interest, your ownership. And if you have any further questions that weren't addressed on the call, please feel free to reach out and we'll get them answered for you. Thank you again and enjoy the rest of your day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone have a great day.